Operator: Good morning, ladies and gentlemen, and welcome to the Genco Shipping & Trading Limited Fourth Quarter 2023 Earnings Conference Call and Presentation. Before we begin, please note that there will be a slide presentation accompanying today’s conference call. That presentation can be obtained from Genco’s website at www.gencoshipping.com. To inform everyone, today’s conference is being recorded and is now being webcast at the company’s website at www.gencoshipping.com. We’ll conduct a question-and-answer session after the opening remarks, instructions will follow at that time. A replay of the conference will be accessible at any time during the next two weeks by dialing in 1-877-674-7070 and entering the passcode 373966. At this time, I will now turn the conference over to the company. Please go ahead.
Peter Allen: Good morning. Before we begin our presentation, I note that in this conference call, we’ll be making certain forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements use words such as anticipate, budget, estimate, expect, project, intend, plan, believe and other words in terms of similar meaning in connection with the discussion of potential future events, circumstances or future operating or financial performance. These forward-looking statements are based on management’s current expectations and observations. For a discussion of factors that could cause results to differ, please see the company’s press release that was issued yesterday, materials relating to this call posted on the company’s website and the company’s filings with the Securities and Exchange Commission, including, without limitation, the company’s Annual Report on Form 10-K for the year ended December 31, 2022, and the company’s reports on Form 10-Q and Form 8-K subsequently filed with the SEC. At this time, I would like to introduce John Wobensmith, Chief Executive Officer of Genco Shipping & Trading Limited.
John Wobensmith: Good morning, everyone. Welcome to Genco’s fourth quarter 2023 conference call. In addition to reviewing our Q4 2023 and year-to-date highlights, we want to use this opportunity to provide an update on the progress we are making three years into our comprehensive value strategy, as well as on the industry's current fundamentals. We will then open up the call for questions, for additional information, please also refer to our earnings presentation posted on our website. Starting on page five, 2023 marked another strong year for Genco. We took concrete steps to drive sustainable long-term value, while achieving the top corporate governance rating across 64 public shipping companies for the third consecutive year. We also made progress enhancing the company's ability to thrive through all industry cycles as we executed across the three pillars of our comprehensive value strategy focused on dividends, de-leveraging, and growth. We ended 2023 with our strongest quarter of the year as outlined on slide six. For the fourth quarter we achieved adjusted net income of $0.43 per share and declared a $0.41 per share dividend representing a 173% quarter-over-quarter increase to the dividend. Complementing the sizable returns we provided shareholders during the quarter we also continued to de-lever, while executing several key strategic growth initiatives. This included increasing our earnings capacity by implementing the next phase of our fleet renewal program. Additionally, we closed out a $500 million revolving credit facility that meaningfully increased our borrowing capacity, reduced margin, extended maturities, and enhanced our ability to take advantage of opportunistic growth. Turning to the fleet, performance was strong in the fourth quarter and underscores the meaningful operating leverage of Genco’s asset base and the importance of our barbell approach to fleet composition. During the quarter, our operating leverage was evident as Capesize rates spiked to multi-year highs in December, enabling us to increase Q4 TCE by 44% and achieve our highest TCE of the year at over $17,000 per day. We also generated our lowest cash flow break-even rate for the year, resulting in significant margin expansion and an increased Q4 dividend, which I mentioned a moment ago. Notably, in the fourth quarter, we once again achieved the time charter equivalent benchmark outperformance and are pleased to have seeded our internal benchmarks for the year by $1,300 per day, while generating adjusted EBITDA of over $100 million. Looking ahead, we expect the positive momentum and our strong performance to continue in the first quarter. For Q1, 81% of our available days are fixed at over $18,700 per day, an increase of 34% versus Q4 levels. This strong performance is notable, especially considering that Q1 has historically been the seasonal low point in the dry bulk freight market. On page seven, we look back on the development of our comprehensive value strategy based on our ongoing progress in 2023. In April 2021 management and the board laid out a clear path and related objectives to transport Genco into a low leverage, high dividend yielding company with significant financial flexibility to provide shareholders with returns and opportunistically grow through the dry bulk shipping cycles. Since that time we have made significant progress towards these goals and importantly have balanced our capital allocation priorities having paid $170 million in dividends, acquired [Technical Difficulty] declared compelling dividends over the last 4.5 years including nine since the announcement of our value strategy. Over this 18 quarter period cumulative dividends to shareholders amount to $5.155 or 29% of the current share price. Further supporting our ability to pay sustainable dividends is our recent success executing the next steps of our fleet renewable strategy as displayed on slide nine. In November 2023, we purchased two 2016-built scrubber-fitted Capesize vessels for $86 million, while divesting three 2009 and 2010 Capesize vessels. This trade further modernized our Capesize fleet and reduced the risk profile, while also increasing 2024 earnings in cash flow capacity. Following the sales of the three older Capes, we expect 2024 dry dock savings of approximately $10 million as we avoided the expensive third special surveys for these ships. In line with our barbell approach to fleet composition noted on slide 10, we'll continue to evaluate further opportunities in the sale and purchase market to renew our fleet. Turning to slide 11, we believe Genco is in a highly advantageous position going forward. Specifically, based on our success lowering our debt outstanding by 55% over the last three years, we have an industry-low net loan to value, an industry-low cash flow break even [Technical Difficulty] fleet value and taking into consideration our scale and operating leverage, we expect Genco's fleet to significantly benefit from a rising market. With that said, and given our access to capital, we are also able to take advantage of counter cyclical opportunities to buy vessels to increase our earnings power, much like we did prior to the recent capesize rally in early Q4. Going forward, a key priority for Genco is continuing to be good stewards of capital for shareholders and continuously evaluating capital allocation priorities. On slide 13, we summarize the key tenants of our approach to capital allocation. First, maintain low financial leverage [Technical Difficulty] Supermax vessels with a more stable earnings stream. We believe our low leverage, high dividend payout model executed in scale is industry leading in the dry bulk shipping public markets. Given the volatility and the cyclicality of dry bulk shipping, we also believe it creates the optimal risk-reward balance to provide sizable returns to shareholders, opportunistically grow the fleet, and enhance our earnings power through the cycles. I will now turn the call over to Peter Allen, our Chief Financial Officer.
Peter Allen: Thank you, John. On slides 15 through 17, we highlight key financial metrics of the company, specifically for Q4 2023 Genco recorded net income of $4.9 million or $0.12 and $0.11 basic and diluted earnings per share respectively, which includes a non-cash special impairment charge of $13.6 million relating to the agreed upon sale of three older, less fuel efficient capsize vessels. Excluding this non-cash charge, adjusted net income was $18.6 million or $0.43 basic and diluted earnings per share. Adjusted EBITDA for Q4 totaled $37.1 million, bringing the full-year 2023 total to $101.5 million. During Q4, our net revenues increased by 50%, as compared to Q3, while a recurring cost structure remained approximately flat over the period, illustrating the high degree of operating leverage inherent in the business. This operating leverage is best displayed by our capesize vessels, specifically those on index length contracts. These ships achieve an average TCE of over $33,000 per day in Q4, 91% higher than in Q3, directly benefiting from the rapid rise in the capesize market at year-end. With such operating leverage, there is less of a need for financial leverage to achieve strong returns. On slide 18, we highlight the trajectory of our debt outstanding over the last three years and our continued voluntary debt repayments. Through the end of 2023, we have paid down nearly $250 million of debt meaningfully reducing our leverage. Given our 100% revolving credit facility we will continue to actively manage our debt balance to save on interest expense, while opportunistically drawing down for vessel purchases given our nearly $300 million of undrawn capacity. During the fourth quarter, we close on a $500 million revolving credit facility, which is a key step in the continued development of our capital allocation approach. This facility increased our borrowing capacity by over $150 million, lowered pricing on margin by 30 to 60 basis points from the previous facility and extended maturity to the end of 2028. This 100% revolving credit facility structure provides further flexibility and aligns well with our value strategy as the RCF structures enables Genco to continue to voluntary pay down debt in line with our medium term goal of zero net debt without losing the capacity to draw down to fund growth. To this point, we took advantage of the company's meaningful liquidity position to opportunistically acquire two modern high-specification capesize vessels. We'll continue to assess additional sale and purchase transactions in the market in line with our fleet renewal strategy. As of December 31, 2023, our cash position was about $47 million and our debt outstanding was $200 million, bringing our net debt level to $153 million and net loan-to-value ratio to 15%. With $295 million of undrawn revolver availability, our total liquidity position at the end of the year was $342 million. Following the completion of the agreed upon vessel sales in the first quarter, we anticipate our net loan to value ratio to reduce to 10%. Moving to slide 19, we highlight our transparent dividend policy, which targets a distribution based on 100% of excess quarterly cash flow excluding maintenance and withholding for future investment. The nature of our variable quarterly rate of approximately 4.7%. Looking ahead to Q1 2024 on slide 20, we anticipate our cash flow break even rate excluding extraordinary annual meeting related expenses to be $9,752 per vessel per day, well below our Q1 TCE estimates to-date of $18,724 per day for 81% fixed, pointing to another strong quarter. I will now turn the call over to Michael Orr, our Dry Bulk Market Analyst, to discuss industry fundamentals.
Michael Orr: Thank you, Peter. As depicted on [Technical Difficulty] leading up to Lunar New Year in February. Capesize rates reached a 15-year high for this time of year, driven by continued tightness in the Atlantic basin. Currently, capesize and supermax rates remain at firm levels of approximately $23,000 and $13,000 per day, respectively. Slides 23 and 24 highlight the aforementioned seasonality of the dry bulk freight market, which has historically seen a reduction of cargo availability, particularly from Brazil, due to poor weather conditions and scheduled maintenance coupled with the timing of new building deliveries and the later New Year. However, various geopolitical events continue to impact the dry bulk freight market as highlighted on slides 25 and 26. In October, low water levels in the Panama Canal impacted the number of ships that could transit resulting in heavy delays and rerouting of vessels. One of these options was to divert vessels through the Suez Canal. However, in December, attacks on commercial vessels in the region led many shipping companies to no longer transit the Southern Red Sea and Gulf of Aden area, further disrupting the efficiency of the global dry bulk fleet. Approximately 7% of dry bulk trade transits through the Suez Canal. Larger scale tonnage routing over an extended period of time could increase ton-mile demand for dry bulk shipping, all else equal. Regarding the Chinese steel complex on slides 27 and 28, China's iron ore port inventories have been building over the last several months from very low levels, but still remain well off of 2022 highs. China's iron ore imports rose by 7% in 2023 year-over-year, supporting iron ore prices, which remain firm at approximately $120 per ton. China's steel production was flat year-over-year in 2023. However, India grew substantially at 12%, while ex-China output increased on a year-over-year basis for the last six months. Looking ahead to 2024, the World Steel Association forecasts China's production to remain at 2023 levels, while the rest of the world is expected to see growth of 4%, potentially signaling an increase in demand from developed countries and support from the secondary trade routes outside of Asia. In terms of the grain trade, the end of Q1 represents the start of the South American grain season, which typically sees an increase in Brazilian soybean exports, which is supportive to minor bulk rates. As shown on slide 29, the USDA is forecasting another strong crop out of Brazil. Regarding the supply side outlined on slides 30 to 32, net fleet growth in 2023 was 3%. The historically low order book as a percentage of the fleet, as well as near-term and longer-term environmental regulations are expected to keep net fleet growth low in the coming years. While we expect volatility in the freight market, the foundation of a low supply growth picture provides a solid basis for our constructive view of the dry bulk market going forward. I will now turn the call back over to John for closing remarks.
John Wobensmith: Thank you, Michael. Before we turn to Q&A, there are a few key points that I'd like to highlight. First, we are executing a clear plan and doing so with a commitment to strong corporate governance. We've made demonstrable progress executing across the three pillars of our comprehensive value strategy. Second, our strong operating and financial results for the fourth quarter and full-year demonstrate the strength of our industry-leading commercial platform and our significant operating leverage. We are pleased to outperform benchmarks and increase the TCE by 44% from third quarter levels. Finally, we believe the key steps we are taking are positioning us to create value both today and for the long-term. This concludes our presentation and we would now be happy to take your questions.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and answer-session. [Operator Instructions] Your first question comes from the line of Omar Nokta from Jefferies. Your line is now open.
Omar Nokta: Thank you. Hey guys, good morning. Thanks for the update and thanks for outlining obviously the strategy as you've been ongoing now for three plus years or so. I wanted to ask just about the dry bulk market overall. Clearly things have been, as you were touching on just now in the presentation, things have been much healthier than expected. Definitely going into 4Q, though we're not, expectations for rates to jump as they did. And so far here in the first quarter, things have been much healthier as well? I just wanted to dive just a bit deeper, just kind of maybe from your perspective. If you could just give us a sense of what do you think is really behind this market? Is it demand? Is demand really the driver here? You obviously talked about the Red Sea, the Panama Canal. Is that also having an issue on the margin? Or how would you characterize this market, say, today versus last year at this time when things were looking fairly soft?
John Wobensmith: So obviously, great question, Omar. I think you have to start with the supply side, which is, again, continues to be very low in terms of percentage of the fleet on order. We're going to have even lower deliveries this year versus last and then as we get into 2025, deliveries slow down even further. And again, they're from very low levels to begin with. So we have a very good supply-demand balance. This first quarter though, and we really started to see it towards the middle of the fourth quarter, we've seen actual increased volumes on iron ore, bauxite, coal, I think certainly the El Nino effect that has created dry weather in the iron ore areas in Brazil have enabled [Indiscernible] to increase production from what would normally be a seasonal low because it would typically be the rainy season when in fact it's been pretty dry. So we've seen increased iron ore. We've seen increased bauxite out of West Africa. Coal shipments have been strong. We are about to come into peak grain season for the Southern hemisphere. Things look very good there in both Brazil and Argentina. Argentinian corn had a pretty bad year last year, this year looks like it's going to be close to a record on the corn side. So that all looks positive. But then you talk about some of the inefficiencies. I think the Panama Canal is probably causing greater inefficiencies than the Red Sea, though certainly the vessels avoiding the Red Sea are part of the story as well. But when I look at it, fundamentally I believe the market is being driven by low supply, demand has been up, volumes have been up, and then we do have some inefficiencies that have been created around the Panama Canal and the Red Sea area -- Southern Red Sea area.
Omar Nokta: Thanks, John. That's helpful context kind of broadly on the market. And then just maybe -- you can maybe touch a bit on what we're seeing or what you're seeing in the sale and purchase market and also is that influencing in any way how you're looking at fleet renewal today versus, say, two months ago?
John Wobensmith: I would tell you there is a flurry of activity, particularly in the capesize sector, but the smaller mid-sized vessels are moving off the shelf, so to speak, as well. But what's happening in Capes is [Technical Difficulty] in the S&P market. The two ships that we bought, those 2016s which we paid $43 million, they're probably easily worth $50 million today, and that's a very short period of time, that's up [16%, 70%] (ph) in a month and a half. And it's very difficult to find eco vessels as well. And we've also seen a lot of Newcastlemax’s being sold. I think it's [Technical Difficulty] last 30 to 60 days. I would also tell you just in general the sentiment in the -- in particular the capesize markets moved up, you know, those again going back to the two ships that, that we just bought you know we were able to fix those vessels on index linked deals at 128% of the BCI. So very firm percentage numbers over and above the benchmark index and then plus scrubber economics obviously on top of that. So it’s -- there's a lot of positivity right now. On the fleet renewal side, as long as we can trade out of older ships for similar relative values as newer ships will continue to do that. So I would tell you, again, particularly in the capesize sector, it's very difficult to find highly eco-high fuel fission vessels, which is what we're focused on.
Omar Nokta: Very good. Thanks John for that color. Appreciate it. I'll turn it over.
John Wobensmith: Thank you, Omar.
Operator: Your next question comes from the line of Liam Burke from B. Riley. Your line is now open.
Liam Burke: Thank you. Good morning, John. Good morning, Peter.
John Wobensmith: Good morning.
Liam Burke: John, the index only charters for the five capes have worked out pretty well for you. They run about a year. How are you looking? Do you see opportunities to add more capes to the -- to those fixtures or do you just prefer to keep the rest of the cape fleet in the spot market?
John Wobensmith: Yes, so look, the index deals are effectively in the spot market, right? Because they're earning a daily rate basis to BCI.
Liam Burke: Right.
John Wobensmith: We do have three vessels, the Endeavor, the Resolute, and the Defender rolling off somewhere around April, maybe a little bit later from their index deal. So I think we'll look to do probably renew a couple of those. In general, we like being direct with our customers, but we also believe in a portfolio approach, particularly in the capesize sector. And when you can earn 128% of the BCI plus scrubber that is -- those are very firm numbers. So, yes, I think we'll do a little renewal. I don't see us expanding much beyond what we've done today.
Liam Burke: Okay. Now, this is more of a macro question, but in the presentation you discussed the replenishment of inventories on the iron ore side in China with production being flat, the rest of the world picking up the slack in terms of iron ore demand. Are you seeing that this early in the year or are you just seeing your iron ore trade replenishing Chinese inventories?
John Wobensmith: I would say for the most part it's replenishing Chinese inventories. But we do expect that as we have a recovery, ex-China on the steel side, we'll see more iron ore flow. You're correct that production levels are projected to be flat this year. You'll start to see production growth [Technical Difficulty]
Liam Burke: [Technical Difficulty] some of your maybe older assets and maybe not even match them up yet with a new asset to pair against, but you know take advantage of, you know, just strong appetite or is the appetite maybe not quite as strong for some of the 15-year-old type assets?
John Wobensmith: No, I feel like I think the appetite is strong across the board. I just think it's a lot more challenging to find the newer ships. And yes, that would be something that we would look at, though I would tell you we don't have an interest per se in shrinking the fleet from these numbers. We're very constructive on not just asset values, but the overall markets because of the low supply situation. For the next few years in terms of what we can see, we like being in dry bulk shipping. So in terms of shrinking the fleet as a rule, I don't see us doing that. But of course we're going to take advantage of opportunities even if it may mean short-term selling some older ships and then medium, longer term replacing them.
Liam Burke: Got it. Okay, that's helpful. And then from a macro perspective, I'm curious, especially given all of the grain coming out of Brazil, which tends to be a very long haul grain voyage anyway, with the issues in Panama Canal, with issues in the Red Sea. Are we starting to see any shift in sort of the appetite of ship type? Is there a growing preference maybe to move some of that grain on, yes I don't know on a [Kamsarmax] (ph) as opposed to supermax or you know are you seeing anything on along that front just to take advantage of the scale for the longer distances?
John Wobensmith: I wouldn't say there's a shift, but you know, Panamax’s and Kamsarmax’s have traditionally carried grain out of that area, but I wouldn't say there's actually a shift. I mean, I think you know the Kams this time of year in that area the Kamsarmax’s and the Ultramax market, Supermax market are fairly well linked. They're using all types of vessels to move that grain. Again, in terms of Brazil, you're talking about another record crop off of last year projected on soybeans. Corn is down, but very slightly and then again the Argentinian corn is going to move up. I mean, I think we only maybe about 27 million tons last year, but it's going to be 45 million, 46 million tons this year. So again, that's going to be a record crop. I was actually down there last week, I saw it for myself. It is -- there's a lot of corn coming out of Argentina over the next few months.
Liam Burke: All right. Well, I appreciate it. Thank you guys.
John Wobensmith: Thank you, [Ben] (ph).
Operator: [Operator Instructions] Your next question comes from the line of Sherif Elmaghrabi from BTIG. Your line is now open.
Sherif Elmaghrabi: Hey, good morning. Thanks for taking my question.
John Wobensmith: Good morning.
Sherif Elmaghrabi: First, regarding the leverage on the Ranger and the Reliance, is it thought to pay that down over time? I realize you have some cash from vessel sales coming in Q1, or could we see those ships secured under a new facility?
Peter Allen: Hi, Sherif. Thanks for your question. Yes, so like John mentioned earlier, we paid $86 million for those two ships in aggregate. We tapped the revolver and drew down $65 million. So in a bucket that was 75% loan to value, but obviously the leverage position of the company is very significantly lower than that pro forma of 10%. As we're getting the sale proceeds from those three ships, we're going to actively manage our debt position to reduce interest expense and flow through the bottom line. The great thing about our new revolver is that there's no term loan component to it. So we can pay down debt, not lose borrowing capacity, and then if we do see an opportunity like the company saw in Q4, we can then tap the revolver to draw down. So, I think to your point, there will be some active management of our debt from the current level of $200 million as those proceeds come in.
Sherif Elmaghrabi: Thanks, Peter. That's helpful. And then you highlighted a handful of demand drivers for the recent market strength, and I think Omar's question touched on this. But a chunk of it seems to be the impact of canal deblaze on fleet supply. So do you think a full-year of canal disruptions or maybe the better part of a year has been priced into vessel values? Sounds like the positive impact of El Nino in Brazil could also be a drag in the Panama Canal for example?
John Wobensmith: Again, the Panama Canal is real in terms of creating fleet inefficiencies. It's hard to put a percentage of the fleet that's necessarily being taken out, but as I said, it's real. But again, I go back to the cargo flows, I mean, we've seen iron ore and bauxite up 10% over last year's levels. So those are real meaningful numbers, particularly when you have such a low order book and such a low delivery schedule. It creates a tremendous amount of leverage by just moving up incrementally on the demand side.
Sherif Elmaghrabi: Great. Thanks for taking my question.
John Wobensmith: Thank you. Take care.
Operator: Your next question comes from the line of [Indiscernible] from Clarkson Securities. Your line is now open.
Unidentified Analyst: Thank you. I just wanted to touch upon the capesize as well, I guess building on the questions of some of the other guys. You talk about the lower than normal seasonal factors and the trends in the second-hand market? How do you view potentially locking in some of your capes with current FFA values at around $27,000 for the remainder of the year?
John Wobensmith: So in the past we have definitely locked ships away for one to two years, even three years at a time, particularly as you're brought up in the capesize sector. We think that is a good way to manage risk. We're still relatively -- we're still bullish on the capesize market, so I would say it's a little too early to lock in, but it is certainly something that we're looking at. And as I said, we've done it in the past, and from time-to-time we think [Technical Difficulty] the table and the capes. The other thing I would point out is the index deals that we've recently done, as well as the past index deals have options for us to fix periods of time within those transactions. And we've done that. We actually did that a little bit in -- for the month of February in the first quarter, but obviously that was very short-term and it was just to sort of get through the month of February. But we have that option to lock longer term.
Unidentified Analyst: That's great, color. And also if I could just touch upon the fleet renewal as well. You've been quite active on the cape side, but when should we expect to see some of the same for Supermaxes or if at all?
John Wobensmith: You will. We're focused on some of the 58s. It's hard to put a definitive time frame on it, except that I would say I expect it to happen this year. Keep in mind that we have bought 11 ultras since 2018, So this has been an ongoing process. But now with where vessel values are, they seem to be firming. The momentum from the capes are moving down into the mid-sized vessels. So it's starting to make sense on the valuation front for some of our older 58. So it's definitely on the table. Just a little hard to give you the exact timing, but I certainly believe this year.
Unidentified Analyst: Okay, perfect. Thank you. I will return to the queue.
John Wobensmith: Thank you.
Operator: As there are no further questions at this time, this concludes your conference call for today. We thank you for your participation and ask that you please disconnect your lines.
John Wobensmith: Thank you.